Operator: Good day, ladies and gentlemen. Welcome to Noah Holdings Limited Second Quarter 2014 Results Conference Call. At this time, all participants are in listen-only mode. Following management's prepared remarks, there will be a Q&A session. During the Q&A session, we ask that you please limit yourselves to two questions and one follow-up, so that we may have further participation. If you would like to ask further questions, you may reenter the question queue to do so. As a reminder, this conference is being recorded. Joining the conference today are Ms. Jingbo Wang, Co-Founder, Chairwoman and CEO; Ms. Theresa Teng, company's CFO; and Ms. Frances Chia-Yue Chang, Executive Director. Before the opening of U.S. market on Tuesday, Noah issued a press release announcing its second quarter 2014 financial results, which is available on the company's IR webpage, ir.noahwm.com. This call is also being webcast live and will be available for replay purposes on the company's website. I would like to call your attention to the Safe Harbor statements in connection with today's call. The company will make forward-looking statements, including those with respect to expected future operating results and expansion of its business. Please refer to the risk factors inherent in the company's business and that had been filed with the SEC. Actual results can be materially different from any forward-looking statements the company makes today. Noah Holdings Limited does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under the applicable laws. The results announced today are unaudited and are subject to adjustments in connection with the company's audit. Additionally, certain non-GAAP measures will be used in our financial discussion. A reconciliation of GAAP and non-GAAP financial results can be found in the earnings press release issued on the company's website. I would now like to hand the call over to Ms. Wang. She will be speaking in Chinese and her statements will be translated into English. Ms. Wang, please go ahead.
Jingbo Wang: Thank you, operator, and thank you all for joining us today. With me today is Ms. Theresa Teng and Mr. Frances Chang, Executive Director of the company. Theresa has tendered her resignation for personal reasons and the resignation will be effective September 10, 2014. I would like to take this opportunity to thank Theresa for the contribution she has made to the company. After due consideration, the Board has appointed Frances to be acting Chief Financial Officer and will commence the search for permanent CFO. Today, I will begin the call by briefly reviewing our performance in the second quarter of 2014 and discuss the progress of our corporate strategy. Then I will ask Frances to briefly introduce herself. Afterwards, Theresa will discuss the detail of our second quarter financials. We will be happy to take your questions after that. In the backdrop of a slowing economy, we still achieved a solid performance in the second quarter. The operating and financial metric all reached historic highs. The aggregate value of wealth management products distributed during the quarter was RMB18.2 billion or $2.9 billion, a 46.6% increase year-over-year. For the quarter, we distributed financial products to 3,538 active clients, an increase of 36% compared to the same quarter last year. Net revenue and non-GAAP net income were $71.4 million and $24.6 million, an increase of 61.4% and 52.8% respectively. We continue to provide comprehensive wealth management and asset allocation solutions to our clients powered by our asset management capabilities. Our asset management business, Gopher, grew in the second quarter with assets under management reaching RMB47.3 billion or $7.6 billion, an increase of 23.5% compared to the end of first quarter. It is worth highlighting that two real estate funds managed by Gopher matured this quarter, ahead of schedule, and realized IRR of 29% and 78% respectively. Fund investors were extremely pleased and Gopher for the first time booked performance fee totaling $11.4 million. The robust performance of Gopher real estate funds is attributed to a combination of strong investment team, effective strategy and dedicated research. We are confident Gopher will also perform in other asset categories it manages. As part of wealth in China growth together with interest rate liberalization and development of alternative investments, asset management industry is undergoing a rapid expansion phase. Over the years, Gopher asset management has strengthened its investment capability and grown its AUM. It has now become a leading asset management company in China bucket of fund-of-funds in private equity, real estate and hedge funds. Growth of our wealth management business remained steady in the second quarter as we further optimized our sales management in terms of branch network and relationship managers. We also hired more resources to improve our back-office operations and to enhance IT infrastructure. In the second quarter, we upgraded our CRM system and launched a relationship manager, (inaudible) application. These efforts will greatly increase sales force productivity. In the first half of 2014, average transaction value per relationship manager increased 20% year-over-year and (inaudible) of the relationship managers was nearly zero. As we continue to improve customer experience and have established a dedicated team focused on executing various strategic initiatives. Since the beginning of this year, we have been increasing our clients' allocation to global assets and equity products. We have products including US dollar private equity fund-of-funds, US real estate funds, fund of hedge funds, multi-strategy hedge fund and buyout funds. These long-term alternative investments were well accepted by high net worth clients. We believe high net worth clients' demand for global diversification will continue to increase. We have expanded our team at Hong Kong and strengthened offshore product development effort. Our goal is to operate clients' global asset allocation solutions by further diversifying our offshore products and partnering with leading asset management companies globally. In the second quarter, the aggregate value of wealth management product distributed by Noah Hong Kong increased several-fold and the number of clients investing in offshore products continue to grow. In the second half of this year, Noah Hong Kong will offer clients global hedge funds, credit funds and private equity funds. We firmly believe venture capital and private equity will be drivers to China's economy's transformation. During this process, by partnering with leading investment managers and understanding the newer economy, we can create value for our clients. In the second quarter, we successfully raised buyout fund in collaboration with a reputable securities firm, one of the first funds of its kind in the market. In June, we held a private equity forum where more than 1,200 private equity investor exchanged thoughts with leading private equity investment managers in the market and discussed the future of China's alternative investment industry. The strong participation at this forum demonstrates investors' growing confidence in the future of China's private equity funds. As we expand both our wealth management and asset management business, risk management remains to be our core competency. We further enhanced our financial products to improve our evaluation and selection capabilities. In addition, we have strengthened our investment management process to enable us to better detect, mitigate and manage with. We continue to develop strategic businesses, which enhance our relationship with existing clients and help us to expand new clients. As of the end of second quarter, our macro lending business has provided short-term financing to over 300 customers with total loan extended exceeding RMB1 billion. Average loan maturity was 38 days. Average loan amount was RMB2.9 million. All the loans were collateralized without any late due. In terms of our insurance business, growth in a number of customers under our global medical program remained steady. We have also gradually improved our insurance product offerings including life, critical illness and accident insurance. Through Noah, high net worth clients can purchase a complete series of protection product. This quarter we also made progress with our internet finance initiatives such as providing private banking services to light color clients and high net worth individuals peer-to-peer lending. Next I would like to discuss the development of China's financial industry and regulatory environment. Regulation continued to promote the development of asset management industry, in particular private equity. In May, the government issued a set of policies, highlighting the need to develop the private equity industry in China. As private equity's regulation and policies become more established and standardized, many kinds of restricted financial licenses are expected to be listed. Private equity industry will become the most innovative business of China's asset management industry. Noah is well prepared to capture the opportunities of this market. We are confident in the future development of asset and wealth management industries in China. According to the 2014 global wealth report by Boston Consulting Company, Asia Pacific excluding Japan will surpass Western Europe and become the world's second wealthiest area in 2014 and further growth to be the wealthiest area in 2018. The report also indicates that the number of house loans was $1 million asset in China increased from $1.5 million in 2012 to $2.4 million in 2013, which illustrates great growth momentum of China's private wealth. We will continue to benefit from a well established brand name, professional team, core capability of taking high-quality assets and risk management to further grow market share and improve profitability. With that, I will hand to Frances to briefly introduce herself and Theresa to share with you our financial and operating metrics for second quarter 2014.
Frances Chia-Yue Chang: Thank you, madam Wang, and hello everyone. I have been Noah's Director since August 2005 and currently the Execute Director, Chief Market Officer of Noah Holdings and the CEO of Noah Upright. I have more than 20 years of experience in the asset management industry. I worked for Greater China and Southeast Asia region of Robeco Hong Kong Limited as the CEO from 2007 to mid-2011. Prior to that, I served as China CEO and Senior Vice President of ABN AMRO Asset Management Asia Limited. During that same period, I was the chairman of ABN AMRO Xiangcai Fund Management Company Limited in China. Before the years with ABN AMRO Asset Management, I was at Kwang Hua Securities Investment & Trust Company Limited in Taiwan as CEO. I thank our Board of Directors for their trust to appoint me as the acting Chief Financial officer and precede Theresa. I would put my best effort to ensure smooth transition. Now I will ask Theresa to share with you our second quarter financial information. Thank you.
Theresa Teng: Good morning. Before updating our second quarter results, I would like to announce that for personal reasons, I will resign from the position effective September 2, 2014, and will remain at the company as advisor to assist the transition. Frances is a very experienced and respectful veteran in the field with a very in-depth understanding of the firm and expertise. I truly believe the transaction will be very smooth and she will continue to lead the team to the newer heights. With the strong demand at wealth management needs from our clients, the diversified product mix and the discrete risk controls, the overall quarterly performance including transaction value, net revenue and net income, all surged to another new height this quarter. Net revenue was $71.4 million, which increased 61.4% year-over-year. Non-GAAP net income was $24.6 million, 52.8% growth year-over-year. And the transaction value reached RMB18.19 billion, a 46.6% growth year-over-year. Total net revenues for the quarter reached $71.4 million, which is the new record of quarterly revenue the company has ever achieved. Revenue growth was driven by strong transaction volume, the increasing recurring revenue which is further enhanced by our growing asset under management. We also recognized revenue of performance fee for $11.4 million generated by two Gopher real estate funds in the second quarter. For the composition of our product in second quarter, key products increased to 29.3% of transaction value from 16.8% in the previous quarter. Equity products increased to 3.3% from 2.5% in the first quarter. Fix income products still remained the majority, accounted for 64.3% of overall transaction value this quarter. Third-party trust product accounted about 8% of total transaction value compared to about 13% in the fourth quarter of last year and 9% in the first quarter of this year. Effective one-time commission rate for this quarter was 0.82%, remained at a similar level as of the first quarter. The related party revenue was 61.9% of total revenue this quarter compared to 43.7% same period last year. This increase is primarily due to the strong trends of assets under management from Gopher. Our asset management business has been growing significantly. It's currently managed around $7.6 billion, up from $6.3 billion in the previous quarter. Recurring revenue was 50.1% of the revenue in this quarter. One-time commission was 32.1%. Excluding the effect of the one-time performance fee we earned this quarter, recurring revenue will be around 60% of second quarter revenue and the one-time commission will be around 38.1%, which was at a similar level at the previous quarter. The recurring revenue was generated from our asset management business and PE products we distributed. This recurring management fees are typically collected over the product lifecycle. With the expansion of our asset management business, we believe recurring revenues will continue to be the major contributor, which enhances revenue visibility and stability for our business. We again set a record in total active clients this quarter, 3,538 clients, increased 36% from 2,602 a year ago. Average transaction value per active client for this quarter was RMB5.1 million compared to RMB4.8 million same period last year. The non-GAAP net income reached $24.6 million in the second quarter, 52.8% growth year-over-year. Profitability also remained at a healthy level as business sales rose. Operating margin was 39.6% in the second quarter compared with 41.6% a year ago and 41.2% the previous quarter. The decrease for the second quarter was primarily due to the increase in HR and IT infrastructure expenses. Non-GAAP net margin was 34.5% compared to 36.4% a year ago and 36% the previous quarter. We will continue to focus on delivering comfortable growth in 2014. Our balance sheet remains very solid and liquid. The combined amount of cash and cash equivalent was about $263 million, $56.4 million increase from the previous quarter. Our business continued to generate positive operating cash flow of $43.2 million this quarter, mainly due to the net profit performance and good efforts in account receivable collection. Our account receivable management remains effective as revenue and transaction value surge. Account receivables turnover days improved to 48 days from 52 days same period last year. We would like to reiterate our 2014 guidance of non-GAAP net income between $72 million to $76 million. The range represents growth of about 27% to 34% on a year-over-year basis. With that, we will be happy to take questions that you may have.
Operator: (Operator Instructions) And the first question comes from Michael Li with Bank of America-Merrill Lynch.
Michael Li - Bank of America-Merrill Lynch: The first question is regarding product mix. In the second quarter, we noted that fixed income transaction value was relatively flat. The major increase was from private equity. Can the management give some indication on the future part of mix going forward? And also, the relatively flat growth of fixed income transaction value, is this due to macro environment? We noticed that for the trust industry as a whole in China, the growth has also been relative flat. And in the second quarter, did we fund rate any big private equity investment manager which resulted in the large increase? And also, can you comment on the investors' appetite for private equity going forward? The second question is regarding relationship managers. We noticed that in the second quarter, relationship managers increased by 80 personnel, reaching 690. What is the strategy going forward on hiring new relationship managers? As we know, branch network did not increase. So can you comment on this please?
Jingbo Wang: For the first question, since the beginning of this year, we have highlighted that in terms of product mix, we'll be focusing on equity product. For both Asia related product as well as private equity, which is more of a long-term product, we think that in this environment it will be value-added to our clients. So the product mix that you see in the second quarter reflects the strategy that we have been implementing for the first half of this year. Going forward, I remain pretty confident about the growth of our equity product and asset category. Regarding the relationship manager question, we have been rolling out and implementing elite relationship management program. So you've noted that the quality and the productivity of our relationship manager has increased meaningfully, in the second quarter, we have hired new relationship managers and we'll be training them and teach new relationship managers will be increasing or helping to increase our transaction value in 2015 and going forward.
Operator: And the next question comes from (inaudible).
Unidentified Analyst: And my question is related to the performance fee we recognized during the quarter. Is this the first time that we see such income be recognized in our P&L? And I would like to know how we should expect this revenue trend to go going forward.
Theresa Teng: About the performance fee, I mentioned in our remarks that this is one-time and non-recurring and we will have some remain carries in the future, but which is not predicted in our total forecast. And we will expect that more in the future.
Unidentified Analyst: So we do not have the asset funds managed by us and that will be realized in the future and generate performance fee?
Theresa Teng: It will because the performance fee is in nature unpredictable. It depends on the project performance.
Unidentified Analyst: So this is what you said is one-time and non-recurring, right?
Theresa Teng: Yes. For example, we mentioned in our remarks two Gopher funds actually are ahead of schedule, which is better than expected. So sometimes, it will be better than expected and then we remain conservative on predicting about future carry, but there will be more.
Jingbo Wang: Performance fee in part of our asset management business, so I will not characterize it as a one-time non-recurring revenue, except cash flow and the recognition of this performance fee is more typical to predict. Currently out of the higher asset management under Gopher, about $1.7 billion asset under management have carry or performance fee term. So this will help us to generate more carry or performance fee revenue going forward.
Operator: We have a question from (inaudible).
Unidentified Analyst: Just one follow-up on the one-time performance fee. I couldn't find the numbers in the announcement. Can we know how much exactly did we earn on that transaction?
Theresa Teng: It's $11.4 million.
Unidentified Analyst: And this is included in which part of the financial statement?
Theresa Teng: Near revenue in the related party part.
Unidentified Analyst: And if I noticed correctly, the expenses also increased because of this performance fee. How much is the related cost related to this performance fee?
Theresa Teng: The performance fee, that comes with the direct cost, the bonus, but the percentage is not convenient to reveal at the moment. But as I said in my remarks, it excludes the effects of the performance fee and actually the profit margin will remain similar as of the first quarter.
Operator: And the next question comes from (inaudible) of CICC.
Unidentified Analyst: I want to confirm regarding the $11.4 million of performance fee. Is this related to the two real estate funds managed by Gopher that matured in this quarter? And also, you mentioned that there will be more investment into the Gopher asset management business. Can you give us some more color on the future development of this segment, in particular for real estate funds, what will be the IRR level that we should expect going forward?
Jingbo Wang: I would like to confirm that the $11.4 million of performance fee revenue is coming from the two real estate funds managed by Gopher, which matured in the second quarter of this year. Since we have established Gopher Asset Management business in 2010, we have been focused on equity product as well as fixed income product. Now because of the effective strategies from our investment team that we have built over the last few years, I think we have culminated to a strong performance by our funds. As mentioned earlier, out of the total AUM managed by Gopher, about $1.7 billion of AUM has performance fee terms. So this will also provide a good basis for additional performance fee revenue in the future.
Operator: And the next question comes from [Bill Garrison], a retail investor.
Unidentified Analyst: Was wondering if you could speak to challenges you see in second half of the year with regards to profitability after a very strong first half and your decision to keep your profit guidance the same as last quarter.
Jingbo Wang: A couple of points. One, we remain very confident on achieving the net profit guidance that we have given to the market. One of the main considerations for not adjusting the net income guidance for the full year is because in the second quarter, we reported the performance fee revenue, which was ahead of schedule, as we mentioned earlier in the call. Now in terms of the challenges for the second half, if you may know, China's economy as a whole is slowing down. So I think the risk or intent for us is how do we continue to focus on risk management, how do we focus on maintaining a rigorous product selection strategy to offer a quality product to our clients.
Operator: There are no more questions at the present time. So I would like to turn the call back to management for any closing comments.
Jingbo Wang: Thank you, everyone, for joining us today. We look forward to updating you about our third quarter results in October. Thank you.